Operator: Greetings. And welcome to the Hagerty’s First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Garrett Edson from ICR. Please go ahead.
Garrett Edson: Thank you, Operator. Good afternoon, ladies and gentlemen. Thank you for joining us on Hagerty’s first quarter 2022 earnings conference call. Please note that this call will be simultaneously webcast on the Investor Relations section of the company’s corporate website at investor.hagerty.com. Our Stockholder Letter covering this period is also posted on the IR website. Joining the call today are McKeel Hagerty, Chief Executive Officer; and Fred Turcotte, Chief Financial Officer. Before we start, I would like to remind you that the discussion today may contain statements related to our business that may be considered forward-looking, including statements concerning our expected future business and financial performance, our ability to maintain existing and acquired members, our plans to expand market share including planned investments and partnerships, expectations regarding key operational metrics and other statements regarding our plans, and prospects. Forward-looking statements are often identified with words such as we expect, we anticipate, we believe, or similar expressions. These statements reflect our view only as of today, May 9, 2022, and should not be considered our views as of any subsequent date. We do not undertake any obligation to update or revise any forward-looking statements. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our filings with the SEC, which are available on the Investor Relations section of our website and on the SEC’s website at sec.gov. Finally, during today’s call, we will refer to certain non-GAAP financial measures. A discussion of these non-GAAP financial measures along with reconciliations to the most directly comparable GAAP measure is included in our Stockholder Letter, Investor deck and Form 10-Q, copies of which can be found on the Investor Relations section of our website and on the SEC’s website at sec.gov. Unless otherwise noted in today’s call, all comparisons are on a year-over-year basis. And with that, I’d like to turn the call over to McKeel Hagerty, CEO of Hagerty.
McKeel Hagerty: Good afternoon. I am happy to report that we have had a strong first quarter of 2022 and are tracking favorably to meet our financial goals for the year. We are also excited and ready to launch our long-term and contractual partnership with State Farm in the fourth quarter. Fred Turcotte, our CFO will provide the financial details in just a moment. But the headlines are total revenue grew 30% year-over-year to $168 million. Written premium grew 16% year-over-year to $155 million. Total active members grew 11% year-over-year to 2.5 million. Before we dive in I will say a few words about car people and how they enjoy their cars each year. Spring is strong throughout North America, which means it is once again driving season for tens of millions of people who describe themselves as automotive enthusiast. Our company was built to serve this massive community and we are honored to do so. So while auto enthusiast spend their long winters driving a little less, but still working on cars researching the next car they intend to buy or planning their next driving and venture, we at Hagerty have been hard at work steadily adding to our automotive lifestyle ecosystem to make their favorite pastime easier and more fun. All of our offerings help car people enjoy the car world whether they are racers, Sunday drivers, serious collectors or shade tree mechanics. But they also allow Hagerty to gain a larger share of consumer discretionary spend and to create a sense of community and belonging among car lovers, which is important, because the larger this community grows, the more discretionary income car people spend within our ecosystem. During the first quarter, the Hagerty team achieved several strategic milestones. First and foremost, we announced the expansion of Hagerty Marketplace, which will offer multiple platforms for buying and selling collectible cars. This is a large market that will provide us with a number of growth opportunities. In 2021, our members alone bought and sold approximately $9.5 billion worth of cars. We believe our strategic investment in the trusted experts at Broad Arrow Group, the launch of our digital Marketplace combined with our strong membership base and our media capabilities will give us a competitive advantage in this arena. Our Marketplace won’t be just about our members buying and selling cars, but will also serve businesses in the automotive world with our acquisition of Speed Digital, a technology company that is a leading provider of inventory management services to specialty dealers, auction houses and collectors. In the events and experienced space, for the first time ever we operated the renowned Amelia Concours d’Elegance attracting 22,000 enthusiasts in Northeast Florida in March. We also announced plans to re-imagine and expand the upcoming Detroit Concours d’Elegance and expanded the Hagerty Garage + Social footprint are growing nationwide network of premium storage club houses. We celebrated the addition of RADwood and Concours d’Lemons to Hagerty’s portfolio of events. RADwood features the cars music and fashion of the 1980s and 1990s, while d’Lemons events celebrate the oddball an unexceptional of the automotive world. Both are a lot of fun. And finally to drive video gamers into our world, we staked out of position in their world by launching an exciting new partnership with Sony to integrate Hagerty into Gran Turismo 7. The popular video game enjoyed by millions internationally. Gamers of all ages can now access the Hagerty Legends Garage, where they can own and drive more than 70 of the best and most iconic cars of all times. This is a fun way to draw a younger crowd into our world. Our purpose as a company as we have mentioned before, is to safe driving and car culture for future generations. We will do that by continuing to provide on-ramps to our automotive ecosystem, our community by continuing to enhance our value-added offerings for the benefit and satisfaction of our members. Lastly, we recognize a higher level of global economic uncertainty even for us. There are inflationary pressures in vehicle repairs, ongoing supply chain issues remain. There are challenges in surrounding industries like vehicle transportation and roadside assistance and there are general concerns about the crisis in Ukraine. We can’t control global macroeconomic factors, so we remain focused on what we can control, which is continuing to manage our unique business model in a way that will allow us to sustain long-term growth through different economic cycles. Additionally, as we have seen in past economic downturns, the enthusiast vehicle universe tends to be a safe haven where people spend available discretionary funds and their free time. We are confident that our business model is perfectly positioned to capitalize on this pattern by offering unique access to the car world to millions of auto enthusiast. With that, I will turn it over to Fred, who will discuss our financial results in more detail. Fred?
Fred Turcotte: Thanks, McKeel. Let’s get right into the financial results for the first quarter. We continue to experience strong growth across our membership, insurance and enthusiast offerings. Overall, 2.5 million active members have joined Hagerty through March 31, 2022, up 11% year-over-year with 1.3 million paid members looking to us to protect their vehicles, provide enthusiast services, products and experiences, and consume automotive media and content. As McKeel mentioned, we had numerous wins this quarter, including negotiating the acquisition of Speed Digital, a cloud-based technology solution for automotive dealers, auction companies and collectors, which provide vehicle inventory for our Marketplace platform. The transaction closed in April, so we will see the impact on topline and bottomline beginning with our Q2 results. Shifting to the numbers. We are pleased with our Q1 2022 financial results, and as McKeel noted, are tracking favorably to meet our 2022 financial goals. On a year-over-year basis, total revenue grew 30% to $168 million. Commission and fee revenue grew 15% to $63 million, driven by roughly 48,000 new business policies, along with solid policy in force retention of 89%. Membership and other revenue increased 40% to $16 million, benefiting from an increase in total paid members, including HDC paid membership and an increase of 100 basis points in the new membership adoption rate on new insurance policies to 76%. Earned premium grew 41% to $89 million, driven by new written premium growth, policy retention and a 10-point increase in our U.S. contractual reinsurance quota share to 70%. Revenue per paid member increased 21% year-over-year to $134, compared to $111 in the prior year period. Total written premium grew $655 million, compared to $134 million in the prior year period. Loss ratio remained stable year-over-year at 41%. We continue to benefit from higher contractual insurance revenue from our increasing quota share, strong organic premium growth and new revenue sources from our distribution relationships, media partnerships, owned events and Hagerty Garage + Social locations. Importantly, our Q1 2022 performance reflects typical seasonality of our business. Historically, written premium new business counts, revenue and operating income levels are at their lowest levels in the first quarter relative to the second, third and fourth quarters. Given our predominant North American footprint, our results track with enthusiast car sales and events, which historically are greatest in the late spring to early fall the driving season. We have provided details to illustrate this dynamic. Turning to profitability, for the first quarter of 2022, we reported an operating loss of $13 million, compared to an operating loss of $5.1 million in 2021, reflecting expected higher digital advertising costs, higher amortization expenses related to software development and acquired media and entertainment assets, and higher scaling expenses related to the State Farm and Hagerty Marketplace launches scheduled for later this year. As previously discussed, these expenses include substantial pre-revenue costs for the design development and integration of new digital platforms with new and existing internal and distribution partner legacy insurance management and agency reporting systems. Net income for the quarter was $15.8 million versus a net loss of $6.8 million a year earlier. While GAAP earnings per share was $0.33 based on our weighted average shares of Class A common stock outstanding. In the first quarter of 2022, we recorded a fair value gain of $31.7 million related to our private and public warrants, which are required to be treated as liabilities versus equity and mark-to-market under GAAP. Adjusted earnings per share was $0.04, which was lower than GAAP earnings per share due to the inclusion of issued and outstanding Class V common stock, along with our unexercised warrants. Our adjusted EBITDA was a loss of $6 million for the first quarter, compared to $1 million of adjusted EBITDA in the prior period, driven by the aforementioned incremental cost incurred in the first quarter of 2022. We believe adjusted EBITDA is an important supplemental measure of operating performance on a consistent basis, as it removes the impact of items, which are non-recurring and not a direct result from our core operations. Our contribution margin or the amount of total revenue that exceeds variable costs and is available to pay fixed costs and/or reinvesting growth was 22% at quarter end March 31st. We use contribution margin to analyze the relationship between costs, volume and profit as revenue grows. We are reaffirming our full year 2022 outlook for the metrics we provided on our prior call. In addition, we are providing historical quarterly financial metrics in our investor supplement, which we believe will assist investors and the analyst community in understanding the seasonality of our business given our geographic footprint. We have also provided paid and unpaid member count by category along with definitions to help investors more fully understand how we categorize members. Thank you. And I will turn it back to McKeel for final closing comments.
McKeel Hagerty: Thanks, Fred. In closing, I am tremendously proud of what we have accomplished at Hagerty. We believe our value proposition is clearly resonating in the market bolstered by our team’s talent and our unyielding drive to offer best in class value-added services to our members. I am very excited for our future and confident in our ability to continue to expand our ecosystem for car enthusiasts, while delivering long-term value for our shareholders. Thank you again for joining us today onward and upward.
Operator: Thank you. [Operator Instructions] Gentlemen, there are no questions coming from my end.
McKeel Hagerty: Okay. Thank you. If there are no further questions, we have had a few questions that have come to us at that a couple of general themes. So I am going to sort of ask them and then we will answer them. The first one that seem to come in is, can you provide us with an update on the State Farm partnership is still on track for the Q4 2022 launch and any updates on the economics. And I will take that one. First of all, we are really excited about the State Farm partnership. It’s huge for us, it’s a long-term relationship, a long-term commitment 10 years. They were big investment -- investor in the pipe and their CEO is sitting in our Board. We are still on track to get the relationship up and running later this year with the bulk of the first phase of that big block of business that will be coming to us starting to roll in 2023. It’s a very large growth opportunity for us with an estimated at the end of 2021, 460,000 policies are significant for us and there are no changes in the economics. So the exciting thing is that it’s coming, the number of policies is larger than we thought and we will be excited to accelerate the conversion in the time period ahead. Second question that came in is with Q1 2022 in April now behind us. How comfortable are you with your overall 2022 guidance. Fred, do you want to.
Fred Turcotte: Yeah. Happy to take that McKeel. Thank you. Yeah. Q1 results put us on track to meet our 2022 full year guidance. So we feel pretty good about that. We remain focused, however, on executing our plans to meet that guidance as we move forward through 2022. We are happy with the results thus far.
McKeel Hagerty: And I think kind of finally for us here today is, this one was excluding State Farm, how do you feel about general business trends, particularly given more economic uncertainty, including higher inflation and higher interest rates? While we recognize here that of course no business is immune to larger micro economic trends, but I have been sitting in my seat since the early 2000s, we have been through a lot of different kinds of cycles, a lot of different downturns economically. The first one was the dotcom crash in the early 2000s followed by the economic crisis. We have had a lot of catastrophic weather events and then COVID, and what I can say, in general, is this, our business model is incredibly resilient in economic downturns, both from a growth and a profitability standpoint. What specifically as it comes through inflation though there are probably some, there are both headwinds and tailwinds. The headwinds I would describe as, as I described in my earlier comments, we see some rising loss costs when it comes to repairing vehicles, labor rates, wage pressures from all supporting businesses around the auto world [ph] are definitely there, transportation costs, that sort of thing. But you deal with that through normal pricing adjustments, which were in the process of putting in place this year with all the insurance industry, this is happening throughout property and casualty insurance and we are in front of that. But there are also tailwinds when it comes to inflation and this one is actually good for us and that is the value of vehicles is up significantly. In 2021, we saw almost 70% of the 40,000 makes a models of vehicles that we track in our vehicle information database. Our valuation tools went up in value on nearly 10%. So that’s a very significant jump in increase in value. So for us what that means is you -- you are able to capture more premium with new business and then very often we capture additional premium at the time of renewal by offering a higher value for people to ensure their vehicles. So headwinds and tailwinds balances out both ways. But, overall, our business model is incredibly resilient in difficult times. So it looks like there may have been a question that came into the queue. Operator? Did you -- do you want to chime in.
Operator: Yes. Yeah. Yeah. Sure. We have a question from Kelly Shilink [ph], Private Investor. Please go ahead.
Unidentified Analyst: Thank you. I have two questions actually. One, could you comment on what be combined ratio is year-to-date and what it was for the finishing last year combined ratio. And number two, what do you attribute the erosion in the price per share that’s occurred throughout the course of this year?
Fred Turcotte: I will go ahead and take the first one, and McKeel, on the price erosion we can talk through it together. On the first one, the combined ratio on the business debt is written through Hagerty REIT with our partners Markel in the U.S. and the U.K. and Aviva in Canada was 89.5. So 89.5 is the combined for the first quarter and for last year, it was just slightly higher about 89.8, 90. And then on the next question McKeel you want to take that now.
McKeel Hagerty: Yeah. In terms of the erosion since the original listing, I think, we were -- what we are seeing is an awful lot of excitement about our company going public especially amongst people who understood that there is a very persistent business model that underlies our business and there’s not a lot of float in our, in our stock as it stands today. Then the erosion, I think, a very, very late is probably macroeconomic factors people looking at us that way.
Operator: There are no further questions on the line. Okay.
Unidentified Analyst: I would like to just follow up on that…
McKeel Hagerty: Yeah. Kelly, go ahead.
Unidentified Analyst: … if I might. To what would you attribute the, how would you go about improving the price per share I have been be both a shareholder and insurative of the organization, I am concerned about the viability of the model if it’s not reflected in the price per share.
McKeel Hagerty: No. Well, thank you, Kelly. And first of all thank you for insuring your vehicles with us and thank you for being an investor. Our number one focus here is to execute on the model, which is to grow the business organically and persistently over time and to continue building our profit in our business model along the way. We believe that what we need to be focusing on is making sure that we have built consistent solid growth through this quarter and we hope that the market reflects favorably on that for us. But, again, thank you for your business.
Operator: There are no more further questions. This concludes today’s teleconference.
McKeel Hagerty: Okay.
Operator: You may disconnect your lines at this time and thank you for your participation.